Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the Deckers Outdoor Corp. Fourth Quarter and Fiscal 2012 Earnings Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded. Before we begin, I would also like to remind everyone of the company's Safe Harbor policy. Please note that certain statements made on this call regarding the company's expectations, beliefs and views about its future financial performance, brand strategies and cost structure are forward-looking statements within the meaning of the federal securities laws. These forward-looking statements are intended to qualify for the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. These statements relate to the company's anticipated revenues, expenses, earnings, gross margin, capital expenditures, brand strategies and cost structures, as well as the outlook for the company's markets and the demand for its products. The forward-looking statements made on this call are based on currently available information, and because this business is subject to a number of risks and uncertainties, some of which may be beyond its control. Actual operating results in the future may differ materially from the future financial performance expected at the current time. Deckers has explained some of these risks and uncertainties in its earnings press release and in its SEC filings, including the Risk Factors section of its annual report on Form 10-K, and its other documents filed with the SEC. Listeners are cautioned not to place undue reliance on forward-looking statements, which speak only as of the date hereof. The company undertakes no obligation to publicly release or update the results of any revisions to forward-looking statements. I would now like to turn the conference over to the President, Chief Executive Officer and Chair of the Board of Directors, Angel Martinez. Please go ahead, sir.
Angel R. Martinez: Well, thanks, operator, and welcome to everyone joining us today. With me on the call is Zohar Ziv, Chief Operating Officer; and Tom George, Chief Financial Officer. We believe that great brands endure through periods of adversity, and that's what we witnessed as 2012 came to a close. When consumers eventually came out and shopped, albeit later than anticipated, it was clear to us, based on the sales results, that the desirability of the UGG brand has now waned despite some of the recent challenges facing the business. And we believe that it is still strong and in demand. Beyond the results, there were other highlights from the fourth quarter that speak to the health and relevance of the UGG brand and give us added confidence about the future. They include the UGG brand being the #1 searched item -- searched term online during the 2012 shopping season, beating out popular brands such as Apple's iPad and Kindle's Fire, and our eCommerce orders increasing 33% during the 4-day period following Thanksgiving that is book-ended by Black Friday and Cyber Monday, the biggest shopping days of the year. These metrics support the findings from our marketing study earlier in the year that indicated intensive purchase and brand interest increased meaningfully from our inaugural study that was run in 2010. The strength exhibited by the UGG brand is encouraging, given the number of significant challenges that we faced in 2012. To recap, we experienced increased cost pressures from a dramatic spike in sheepskin prices, we battled macroeconomic headwinds in Europe and dealt with another year of record-warm temperatures. With all these challenges, we still grew overall sales for 2012 and generated respectable earnings and margins, especially when you take into account the increased sheepskin cost, which alone created approximately 450 basis points of gross margin pressure, which was worth approximately $1.19 in diluted EPS. Starting with the UGG brand U.S. wholesale, sales were softer than expected as a result of higher-than-expected cancellations. All in all though, we are pleased with the brand's domestic wholesale performance in light of a second consecutive warm winter. While warm temperatures did impact early demand for the core classic and cold weather boots, which drove the cancellations that I mentioned, sell-through accelerated as December progressed and the weather got colder. Meanwhile, sales of our slippers, specialty classics and casuals delivered consistently solid weekly sell-through throughout the quarter. With regard to classics, it has become more evident that as a greater percentage of sales are generated outside the moderate year round climate of California, particularly in the Northeast, that weather is playing a larger role in sales trends. This is important to understand for 2 reasons: First, it reinforces our belief that the recent change in the brand's growth profile has been driven by external factors, namely weather and higher price points from the increase in sheepskin cost, and isn't reflective of consumer sentiment; second, going forward, we believe it's likely that an even higher percentage of classic and cold-weather product sales are going to be concentrated in the fourth quarter. We are adjusting our supply chain resources accordingly, while also introducing new fall products for the transitional period between summer and the holiday selling season. In terms of our International business, in Europe, the UGG brand's performance varied noticeably between the U.K. and our direct and distributor businesses on the continent. Our U.K. business was driven by several strategic changes, including an improved distribution network and enhanced in-store and out-of-store marketing programs, which led to an increase in reorders, helping deliver a fourth quarter sales gain for our U.K. wholesale business. Our recent results, which included significantly less promotional activity, are an encouraging sign for the UGG brand in the U.K. and extremely rewarding given the effort that went into restructuring this business following the challenging situation that we encountered after taking back the distribution in early 2011. We now plan to focus on improving our wholly owned operations in Benelux and distributor business elsewhere in Europe, both of which suffered from excess carryover inventory in the channel, following last year's mild winter and difficult macroeconomic conditions in the region. Turning to Asia wholesale. Our UGG brand closed out a solid year in Japan, fueled by a broader product offering with key accounts. This was offset by declines in distributor sales as a result of the transition to a new distributor in Korea and later deliveries of spring product across the region versus a year ago. Now to our retail division, which posted fourth quarter sales of $135 million, an increase of 37% from a year ago, driven by 30 new stores, partially offset by a low single-digit comp store sales decline. Comps came in favorably versus our outlook for a low double-digit decline with Japan and U.S. outperforming expectations. Please keep in mind, our comp store base is still small especially in the International regions, and therefore, this comparison may not necessarily be indicative of the global retail performance. U.S. same-store sales were flat on top of an 11% increase a year ago. Like many retailers, we experienced soft traffic patterns during much of the fourth quarter. Despite this, sell-through of slippers, specialty classics and men's products were solid, with late season demand for classics helping reverse early declines. At year end, we had 26 U.S. locations, 18 of which are in the comp base. Japan retail store performance improved to an improved inventory assortment -- due to an improved inventory assortment versus a year ago and a positive consumer response to new merchandise offerings, particularly men's and kids' footwear and accessories. We ended 2012 with 14 stores in Japan, up from 10 a year ago, of which 7 are in the comp base. Japan comp store sales increased in the high teens. Total retail sales in Europe benefited from the addition of new concept stores, including our first 2 stores in Paris, several in and around London, such as Piccadilly, Knightsbridge and Richmond, as well as new outlets in Liverpool and Portsmouth. While fourth quarter comps were down double digits due primarily to the redistribution of traffic from new store openings in London, our European retail, in total, generated strong profit gains. At the end of the year, we had 11 locations in the U.K. and the 2 new stores in France. Of these, 4 are in the comp base. Finally in China, comp trends were similar to Q3, down mid-teens, as we continue to see consumers migrate to our newer stores due to their locations and accessibility to many of the large suburbs around Beijing and Shanghai. Total retail sales increased 62%, driven by the 9 new stores we opened since the end of last year, which in aggregate are performing above expectations. We currently have 20 stores in China, 6 of which are in the Q4 comp base. For all stores opened at least 12 months at December 31, 2012, average sales per square foot was $1,600. This figure compares to sales of approximately $1,700 a square foot for the trailing 12 months ended September, with the difference driven by the addition of our Canadian location as well as several China stores and countries where our store productivity levels are below the company average. Total square footage at the end of 2012 was approximately 210,000 square feet compared to roughly 130,000 square feet at the end of 2011, representing an increase of about 62%. As you'll be able to compute, new stores are generating sales per square foot below our original or early fleet of stores. New store productivity is still very high, in the neighborhood of $1,000 to $1,200 per square foot on an annual basis. This is how we are modeling new stores going forward along with a 4-wall operating margin in the mid-20s versus mid-30s for the earlier stores. The average new store investment is still around $1 million with a payback that is in line with our historical performance of one year. In terms of our eCommerce channel, the UGG brand's eCommerce business increased 30% in the fourth quarter from a combination of positive developments. These included increased traffic on our existing websites in the U.S., the U.K. and Japan, higher conversions on classic and fashion products, an increase in mobile sales and the addition of 2 new sites, one servicing the Benelux in France and another covering the rest of the European Union. This channel was our most consistent in 2012, particularly in the second half when weather in specific regions was a big factor in sell-through in our stores and wholesale accounts. With advancements in technology reshaping the way the consumer shops, along with our focus on reducing the impact of weather on sales, we are implementing several new initiatives, which I'll detail later, to capitalize on the current momentum and increase the penetration of eCommerce in 2013. Quickly touching on our other brands. The Sanuk brand had a very strong fourth quarter, with sales up 39% versus a year ago, led by marked success in a number of key national accounts. The acceptance of the Sanuk brand expanded collection of cold-weather shoes -- colder-weather shoes rather, and boots was very positive, while at the same time, consumer demand for Sidewalk Surfers and Sandals, particularly in the warmer regions of the U.S., remained robust. These trends are mirrored on our own website, sanuk.com, which finished the year well above expectation, driven by all categories and gender-specific products. For the Teva brand, there were a number of factors that negatively impacted the brand's fourth quarter performance. The biggest being the difficult comparison with a year ago, when we shipped a large amount of core [ph] sandals ahead of scheduled price increases in January 2012. These early shipments accounted for nearly 90% of the decline in Teva brand's Q4 domestic business. The bottom line is we did not experience the reorder business we'd expect given the solid sell-through of Teva brand collections. We believe consumer demand is there, but in light of the softness in the outdoor industry, retailers have no appetite for additional inventory. And before I turn it over to Tom, I'd like to emphasize that while I was not pleased with our results in this challenging year, I am satisfied with the significant progress that we made at the company this year, improving our product lines, refining our operational capabilities and focusing our management teams on the significant growth opportunities that lie ahead of us. While it was a challenging year, we have stronger brands, stronger people and a stronger foundation for growth. Tom will now review the numbers and outline our guidance.
Thomas A. George: Thanks, Angel. Today's earnings release contains a good amount of detail about our fourth quarter sales performance, plus Angel has covered each brand channel and geography pretty thoroughly; therefore, I'm going to limit my discussion primarily to gross margins, operating expenses, the balance sheet and guidance. Gross margin for the fourth quarter was 46.3% compared to 51% in the fourth quarter last year, slightly lower than our expectations. The 470 basis point decline is primarily attributable to an increase in product cost for the UGG brand relative to -- product costs for the UGG brand and relative to expectations of a gross margin approximately 47%, the small decline is due to increased closeouts, markdowns, as well as product mix. Total SG&A expense for the quarter was $141.9 million or 23% of net sales compared to $131 million or 21.7% of net sales a year ago. The dollar increase versus a year ago was mainly due to $12.2 million of additional expense related to our retail operations, most of which is for the 30 new retail stores that were not opened during the fourth quarter last year, as well as increases in marketing and eCommerce expenses, partially offset by lower performance-based compensation, lower legal expenses and the positive impact from foreign exchange rate fluctuations. SG&A expenses were below our projections, primarily due to savings in retail and Sanuk expenses. Operating income for the fourth quarter was $144.1 million compared to $176.8 million last year. The decline reflects the reduced gross profit as well as increased operating expenses. We recorded income tax expense of $43.3 million in the fourth quarter for an effective tax rate of 31%. Fourth quarter diluted earnings per share of $2.77 compared to $3.18 a year ago and exceeded projections. We achieved our EPS projections despite the sales shortfall due to lower-than-projected operating expenses and a lower outstanding share count as a result of our repurchase activity. During the fourth quarter, we bought approximately 932,000 shares of our common stock at an average price of $38.64 per share for a total of $36 million. These purchases were funded using our cash position and borrowings from our credit facility. For the full year, we repurchased 4,514,000 shares at an average price of $48.89 per share for a total of $221 million. At the end of 2012, we have $79 million remaining on the $200 million authorization announced in July. Turning to the balance sheet. At December 31, 2012, inventory increased 18.5% to $300.2 million from $253.3 million at December 31, 2011. By brand, compared to December 31, 2011, UGG brand inventory increased $46.5 million or 23% to $248.3 million. Teva brand inventory decreased $1.4 million to $27.8 million. Inventory for the Sanuk brand decreased $1.6 million to $14.5 million, and our other brands inventory increased $3.4 million to $9.6 million. I'd like to provide more detail regarding the comfort quality of the UGG brand inventory. At December 31, 2012, in-line carryover products represented approximately 80% or $200 million of the UGG brand inventory. The remaining $48 million is inventory available for our outlets or the closeout channel, and we believe has been valued appropriately. This number has been included in our forward margin guidance. Regarding orders for inline and carryover product, as of December 31, we had orders for approximately 60% or $120 million in inventory. Although it is still early in the fall 2013 prebooking process, nevertheless, when complete, we expect a significant amount of the remaining $80 million of in-line products to be prebooked for 2013, with the balance available for our retail stores and eCommerce business, which combined has grown to over 25% of our business. Regarding the approximate $47 million year-over-year increase in total inventories for all brands, approximately $16 million is due to higher unit costs and $10 million is due to 30 more retail stores compared to a year ago. At December 31, 2012, our cash and cash equivalents were $110.2 million compared to $263.6 million at December 31, 2011. At December 31, 2012, we had $33 million in outstanding borrowings under our recently expanded credit facility compared to 0 at December 31, 2011, and $275 million at September 30, 2012. The decrease in cash and cash equivalents and the increase in borrowings year-over-year are attributable to $220.7 million of stock repurchases over the past year and $61.6 million of cash payments for capital assets, which includes $34 million for retail expansion, $11.6 million for the new headquarter's facility, $7 million for IT infrastructure maintenance, as well as other expenditures, offset in part by cash provided by operations. Now moving to our outlook, based on current visibility, we expect 2013 revenues to increase approximately 7% over 2012 levels. For the full year, we expect UGG brand sales to increase by approximately 4%, Teva brand sales to increase by approximately 6% and Sanuk brand sales to increase by approximately 15%. Our other brands combined are expected to be approximately $40 million. While we continue to strategically address the impact of weather conditions on our business, our top line guidance assumes another mild winter, similar to the one we just had, as well as for the UGG brand, a similar amount of reorders and cancellations as we experienced in 2012. At December 31, 2012, our backlog was $323 million, down 17% from $387 million at December 31, 2011. The decline is primarily attributable to lower pre-bookings for UGG brand domestic wholesale business. We believe the decline is due to the timing of customer orders as customers are starting to be more cautious with the timing and amount of pre-booking due to now 2 years in a row of the inconsistent weather. Thus far, we've been pleased with retailer response to several collections led by specialty classics and slippers. With that said, due to the inconsistency in winter weather and its impact on our retail partners' overall business, we have developed conservative assumptions with regard to the remainder of the booking period, which closes in late April. Looking at our bottom line, we currently expect 2013 diluted earnings per share to increase approximately 5% over 2012 levels. Embedded in this guidance are gross margin assumptions of 46.5% for the full year, the projected 180 basis point improvement over 2012 levels will be driven primarily by lower raw material costs, namely sheepskin. The 11% reduction in our sheepskin price is expected to help gross margins by approximately 150 basis points on an annualized basis, with the entire benefit coming in the second half of the year and mostly in the fourth quarter. 2013 gross margins will also benefit from a greater contribution from our retail division. Our guidance also assumes SG&A as a percentage of sales of approximately 34%, and the main components of our increased spending are as follows: The full year expense associated with the 30 stores we opened in 2012, and 24 which opened in the second half of the year; costs associated with approximately 30 new stores we plan to open in 2013. We will also make additional investments in marketing our Asia wholesale and retail infrastructure that we believe are important to the long-term development and growth of the company. Our capital expenditures in 2013 are expected to total approximately $85 million, with $30 million for the corporate facility and the balance of $15 million (sic) [$55 million] for retail stores, IT and other maintenance. Capital expenses for 2012 were $62 million including approximately $12 million for the new headquarters. We're still planning to refinance our new corporate headquarters by securing longer-term financing. For the first quarter of 2013, we currently expect revenues to be flat compared to the first quarter of 2012 and a diluted loss per share of approximately $0.12 per share. As a reminder, a significant amount of our operating expenses is fixed and spread evenly on an absolute dollar basis throughout each quarter. This includes the costs associated with the 24 new stores that were not open until the second half of 2012. Therefore, due to the aforementioned increases in SG&A, we expect our earnings to decline in the first half of 2013 as compared to the first half of 2012, which are typically our lowest volume sales quarters, and we expect our earnings to increase over 2012 in the back half of the year. More specifically, we expect the Q2 loss to be close to double last year's loss, and with regard to back half earnings based on the growing contribution of retail, we expect an even greater percentage of second half earnings to come from Q4. I will now turn the call back over to Angel.
Angel R. Martinez: Thanks, Tom. Well, as you've heard, there were several aspects of our fourth quarter performance that we believe demonstrate the vitality of the UGG brand and bolster our confidence about the future. With that said, some of the challenges we faced in 2012 have not fully abated, namely uncertainty around the weather and timing of an economic recovery in Europe. Mindful of these obstacles, we plan to make strategic investments during 2013 in the areas of the business we think are critical to the ongoing development of our brands and channels, while at the same time, mitigate risk from the external factors beyond our control. Let me outline our business plan for the coming year. From a product perspective, I think I've touched on several of the initiatives, but here are the priorities: introduce more transitional UGG brand product to drive excitement and demand during historically slow retail period between back-to-school and Thanksgiving; leverage the popularity of classics to attract new consumers via a broader selection of specialty classics and classic derivatives; improve the accessibility of UGG brand's fashion boots through more attractive opening price points; expand our men's and kids' businesses; reduce our dependence on sheepskin by further enhancing proprietary supply chain technologies and other initiatives, which I will discuss momentarily; develop more regional-specific product; and continue to evolve the Teva and Sanuk brand into year-round businesses. In terms of distribution, we are taking a harder look at the wholesale channel with a long-term view of possibly narrowing the UGG brand's domestic account base. At the same time, we're moving forward with expanding our global retail footprint in 2013 as our stores generated significant profitability in 2012 and on average, pay back in approximately 1 year. At this point, we have signed leases for 7 locations, 2 in Asia and 5 in the U.S. This includes our first company-owned Sanuk brand store, which is scheduled to open in Santa Monica in April of 2013. We're currently in negotiations with additional stores -- for additional stores and have a sufficient pipeline to open stores approximately equal to the 30 we opened in 2012. With the addition of Dave Powers, we have gained important insights and identified opportunities in store operations and merchandising that we'll be applying to the business. These include smaller-format stores that carry lower operating expenses and are less expensive to build out. Within the stores, we are focused on telling better stories around the product lines, using enhanced visual merchandising, increasing the number of store exclusives and maintaining better inventory assortments of key styles. We're also redeveloping our outlet strategy to take better advantage of these highly profitable locations. For eCommerce, we're investing in mobile capabilities, elevating our CRM program, enabling some Omni-channel tactics, such as pickup in store. We're developing product customization, which we'll plan to activate this year. And finally, we plan to launch our site in China this summer and are continuing to evaluate new market opportunities in Europe and Asia. Investments in marketing are also a priority, with a targeted spend as a percent of sales consistent with 2012. We continue to shift a higher percentage of resources toward digital programs and away from print in an effort to enhance our direct connection with consumers and increase our return on investment. In the international markets, we've made initial progress fine-tuning our brand message, but there's still work to be done improving our marketing insight and capabilities to ensure each program and campaign is resonating with consumers in our different geographic regions. In the past year, we've gathered some important consumer insights, particularly in China, which will be helpful in shaping our product and marketing strategies going forward. In terms of personnel, there are some key positions that need to be filled in 2013, primarily in the Asia region, as well as our global direct-to-consumer operations. Based on current momentum and the near and medium term opportunities we believe exist in Asia, we're allocating more international resources to Asia versus Europe this year. With regard to our supply chain, we're very excited about a new proprietary process developed over the last 2 years that we believe could have meaningful impact on future sales and margins. Our innovation team was asked -- was tasked with exploring and developing alternative materials that had to enhance the consumer experience while also helping us mitigate the unpredictability of material costs. The result of the innovation team's effort is UGG Pure, a pure wool material with improved feel and consistency which will first be used in linings and some footbeds this year. With UGG Pure, we expect we'll be able to lower our product cost and pursue profitable new growth opportunities, some of which were previously not economically viable. UGG Pure gives us another important key to further unlock the lifestyle nature of the UGG brand well beyond footwear. Last and most importantly, we continue to monitor and adjust our UGG brand inventory commitments, which will reduce our working capital requirements, thereby freeing up cash. We expect to have inventory levels more in line with our back half 2013 sales forecast by the end of the second quarter when they're projected to be down versus the same date last year and flat with the end of 2012. The ultimate level will depend on certain factors, particularly how our new transitional product pre-books, as these styles will need to come in by the second quarter for delivery in Q3. I want to close by acknowledging the effort put forward by this organization in 2012. For our business to persevere through such a challenging operating environment is a testament to the strength of our people and their commitment to our consumers and our shareholders. Thank you to everyone for your continued support. Operator, we're now ready to take questions.
Operator: [Operator Instructions] We'll go first to Randy Konik with Jefferies.
Randal J. Konik - Jefferies & Company, Inc., Research Division: I guess the question is for Tom. Tom, you gave a very interesting statement regarding your top line assumptions for 2013, you said that 7% outlook growth includes a similar winter kind of assumption to this year. Now to clarify, does that kind of incorporate similar amounts of closeouts, similar amounts of at-once, pre-book, et cetera. How should we be thinking about that there, because the way it kind of looks to me is that the probability would increase in year 3 that the winter should theoretically could get better. And then second, we have almost like a car analogy here, where almost women haven't been buying UGGs for 2 years, so the replacement cycle could actually get better in year 3 here. So just trying to get a level of what should we be thinking in that similar winter comment regarding the top line, how should we be thinking about that? That's my first question, and then I have a follow-up.
Thomas A. George: Okay. Randy, what we've assumed in the guidance, we're pretty cautious here in light of the uncertainty around the weather. So we really assumed minimal reorders similar to what we experienced in 2012, i.e. minimal reorders, and we've assumed similar cancellations that we received in 2012. And we received a fair amount of cancellations, relatively large amount relative to our historical pattern for cancellations. So that's the assumptions that we put into it. At this point in time, where we're at in the pre-booking process, we wanted to make sure we were cautious on our domestic wholesale business, and the...
Angel R. Martinez: This is Angel. I think the replenishment component is something to keep in mind. We are the #1 in terms of footwear gifted item at the holidays. And as we saw with the onset of colder weather, people did rush out to replace some of the UGG products, primarily it was a lot of slippers and a lot of the new styles, some of the classic products. As a matter of fact, in The Daily Beast today, I just saw this, there was an article on the resurgence of UGG classic. So that's -- I always wonder where we went, I don't think that we went away, but people are rediscovering it. So that bodes well. It's just still right now, consumers are challenged by the multiple opportunities they have to buy product, not just in retail environments, wholesale environments obviously, but in online, et cetera. So we're sort of trying to evaluate all of that stuff in our assumptions.
Randal J. Konik - Jefferies & Company, Inc., Research Division: No, that's fair. It does feel like the visibility and predictability at least are starting to come a little bit more into focus here. I guess, so my follow-up question would be definitely around the comp store sales number. So if we look at the comp in the third -- in the fourth quarter, down 3-ish, versus the third quarter, down 13, would you argue that, that because it's the holiday quarter that speaks to kind of that strength of the brand, I mean, what did you see in the quarter that -- did it progress towards the -- up about until Christmas, or how did the comps in the quarter kind of play out, because it was a big beat versus expectations. I'm just curious there, your thoughts.
Angel R. Martinez: I think first of all, weather was a key factor. I think certainly in the back half of December, the weather did, well, improved to what we call UGG weather, it was a big, significant factor. I think consumers are putting off their purchasing to, as we've said, beginning last year even, buy now, wear now. They're just developing a habit of buying closer to the market, which is I think part of why we've made the decision that -- our expectation is that we're going to see more of our business weighted towards the fourth quarter than we had seen in the past. And I think that this is also a component of the Omni-channel strategy that seems to be emerging in so many different manifestations. I mean we -- it's still hard to understand the full impact of Omni-channel on consumer behavior, on the impact to conventional wholesale customers. Consumers want what they want, and they want it now, and they want it in every easy way they can get it. So that has a ripple effect on a lot of assumptions and a lot of investments that people make in terms of inventory levels, et cetera. So this is all still shaking out, and we're being cautious, but I think we have our eyes open and we're doing -- we're working very, very hard to project the impact of what I would almost call a revolutionary change in the wholesale environment and consumer behavior around Omni-channel.
Randal J. Konik - Jefferies & Company, Inc., Research Division: Tom, can you just hear this question, just a clerical question. The headquarter CapEx that you're guiding for in 2013, are we to assume that there's no headquarter CapEx in 2014?
Thomas A. George: Yes, and let me also clarify something. On the 2013 CapEx of $85 million, $30 million of it is for the facility, and I think I misspoke and I said $15 million for everything else. It's really $55 million for everything else. And you're correct.
Randal J. Konik - Jefferies & Company, Inc., Research Division: So $30 million of that could theoretically go, is going to go away in 2014, so improving free cash flow cycle?
Thomas A. George: That's right.
Operator: We'll go next to Bob Drbul with Barclays.
Robert S. Drbul - Barclays Capital, Research Division: The first question I have, Angel, you mentioned the potential to narrow the account base on the U.S. wholesale business. I was wondering if you could expand on that a little bit, maybe like the magnitude that you think might be necessary? And then the second question that I have is essentially around pricing on the classics. Can you just talk about the pricing strategies heading into '12, both in the U.S. and some of the International businesses on a lot of your marquee styles?
Angel R. Martinez: Sure. Well, first of all, our classic pricing, let me start with that. The classic pricing is something that our researches said consumers have an expectation of quality with the UGG brand that are willing to pay a premium price, but when we push the price beyond a certain point, we start seeing a negative effect, and we saw that last year. We expect that we'll be able with UGG Pure and other improvements in supply chain, in design and development, that we'll be able to hold our price structure now and actually evolve our pricing to fill in -- and our product line to fill in some areas where we're leaving opportunity open to the competition. And that's a worldwide statement. We feel that in markets like China, for example, we are priced quite high, and I think that we're speaking to a very high-end luxury consumer, and there are people out there with knockoff products selling at 20%, 30%, 40% below, driving a very, very big business on the tails of UGG. We feel that, that's an opportunity for the UGG brand, and we're going to be developing product to address that. What was the first question again? I'm sorry.
Robert S. Drbul - Barclays Capital, Research Division: The distribution.
Angel R. Martinez: Oh, distribution. I said before that, as the brand has evolved and our men's business, our kids' business, our year-round business, it requires a commitment of inventory, it requires a commitment on the brand by a retailer. And where we get those commitments and we see that kind of support for the brand, we have partners for life, if you will. However, there are some environments where we don't -- we're not happy with the brand presentation, we're not happy with the support for the year-round elements of the business and the support for the men's product, so we have to reevaluate whether or not those are long-term participants in the brand success going forward. Consumers today expect a full brand experience when they have a brand they love like UGG. They don't want to see a piecemeal representation and a brand that gets cherrypicked and put out there at retail. So we're taking a very hard look at that. It's a very important part of what we'll be doing. When you walk in to an Apple retail, you expect to see a full array of Apple products, you expect to see all the new stuff, you expect to see it celebrated in the presentation, and that's what we'll have with the UGG brand.
Robert S. Drbul - Barclays Capital, Research Division: Great. If I can just have one more question. The share repurchase was pretty solid. Could you maybe give us an update on the board's perspective or the company's perspective on the capital structure and the willingness to sort of take on significant debt or any level of debt to continue the repurchase authorization?
Angel R. Martinez: Yes, Bob, I think that the board is open to being more flexible from a capital structure point of view and in incurring some debt. That being said, we're cautious about the business and don't want to incur too much debt. There's obviously the seasonality in the business, the third quarter especially, there's a large consumption of working capital, thereby some good size draws on our working capital line. So I think net-net, there's sort of a general trend of being more open to some borrowing related to the share repurchase. That being said, we see a lot of opportunity within our own business to continue to reinvest in our own business vis-à-vis repurchasing stock. I think the last 12 months when we repurchased $221 million of stock, that, I think, that sends a strong message about our confidence in the business itself.
Operator: And we'll go next to Erinn Murphy with Piper Jaffray.
Erinn E. Murphy - Piper Jaffray Companies, Research Division: Angel, I have a question for you on the marketing spend as you think about 2013, what mediums and regions will you be weighting your investment toward, and how should we think about the new customer acquisition and then revenue growth prospects from some of these marketing initiatives? And then I have a quick follow-up for Tom.
Angel R. Martinez: Sure. Well, I mentioned Omni-channel earlier, and it's pretty clear that, that is becoming the driver of marketing strategy. The ability to have a relationship one-on-one with the consumer today, intersect that consumer in every way they care to shop and they care to access your brand is really critical. And it's global, that's not just the U.S., that's what's happening all over the world. So it really requires us to reallocate our marketing expenses in a way that puts us where we need to be over the course of the next few years so that we're not missing that opportunity to offer all of our brands, offer consumers access, the way they want them, when they want them. This is, as I mentioned, a revolutionary moment, I think. I think that we're still -- all of us, I mean everyone in the industry and I think all of retail is still assessing the impact. I think it has broad implications for how retailers sell product in the future, how brands put their products out there. And the idea of running magazine ads like we used to run. It's like the old adage, 50% of it works, I just don't know which 50%, that's been way obsoleted now, because we can run digital advertising, digital marketing, and we can tell you precisely that day how well that performed and where and to what extent it was a good investment. So we're orienting ourselves toward this future, and that's what's happening.
Erinn E. Murphy - Piper Jaffray Companies, Research Division: Okay, that's very helpful. And then, Tom, just a quick clarification on the guidance, I just want to make sure I heard it correctly. For the first quarter, loss per share is about $0.12 and you said the second quarter loss about 2x of what it was last year. Was that correct?
Thomas A. George: That's right.
Erinn E. Murphy - Piper Jaffray Companies, Research Division: Okay, so then I guess the implicit guidance for the back half would be somewhere in the kind of mid-20% year-over-year growth rate. So maybe just tell us from the visibility that you have here, kind of help us appreciate the re-acceleration of growth in the second half. Is part of this kind of tied to the higher retail weighting in that second part of the year due to the closer [ph] of the new store openings? And then what are some of the other catalysts? Is it replenishments, like Randy spoke to earlier, some of the other things that you're seeing at this point?
Thomas A. George: I think the biggest drivers, you hit on it, the retail stores will have another fourth quarter. And just a point of reference, in the fourth quarter, the typical retail store does about half of its annual revenues and does about 3/4 of its annual operating profit, all in the fourth quarter. So this year's fourth quarter will have another year of the openings we had in 2012, and then we'll have another 30 stores. So that's the big catalyst, as well as we have some more eCommerce business expected over the course of the year. It's really driven in the back half, and a lot of that is driven by some new initiatives in eCommerce, as well as our International eCommerce site. And then Sanuk and Teva have some growth in the back half of the year, especially the fourth quarter, with Teva it's more closed toe footwear, and Sanuk, it's more of a rounded out fall line.
Operator: And we'll go next to Omar Saad with ISI Group.
Omar Saad - ISI Group Inc., Research Division: Angel, could you maybe give us a little bit more color or insight into some of the interesting comments you made at the end about this Pure product? You also made some comments about bolstering kind of your transitional product offerings, we're hearing more and more from some of the cold weather sensitive brands out there, given with changing weather patterns and retail order patternings, hearing more and more about an emphasis on transitional products. Are the 2 related, or maybe address them separately?
Angel R. Martinez: I think as we look long-term, yes, they are related in the sense that transitional product is at lower price point, generally speaking. It's not the twin-faced sheepskin product that classic is and classic predominates in the fourth quarter. So we already know, because of our success with extensions of our moccasin program, for example, and a variety of other stuff that we've done, the consumers are amenable to it. We have really kind of been tiptoeing around it. We really didn't have the capability, given the sheepskin pricing issue, to address the breadth of price points that are required in order for us to fully exploit the development of that kind of a product line. UGG Pure allows us to have a lot more flexibility. It is in every way superior to the current feel of our product. It's -- good as our products feel, we feel we've hit on something even better, and consumer testing has already demonstrated that it is preferred to a significant level in terms of its suppleness, its softness, et cetera. So there are some things and you'll see them in the lines, in the footbeds or sock liners, as we say, and use sort of minimally as we've been ramping up on this new material approach. It's pretty exciting because it does give us less of a dependence on the availability of sheepskin in the global market. So that's not to say we won't be continuing to create product using the conventional material, it just means that we'll be far less dependent on the sheepskin, the twin-faced, that we've been using. And the other thing that it does is that it gives us the chance to explore some lifestyle products and home products, which we've been dabbling in that. But again, the same reason that we haven't pursued it more aggressively, when we would create these products, we'd find ourselves almost priced out of the real volume opportunities, still a quality premium [ph] level, but our prices were too high. This now allows us to fully evolve that whole idea, and we're pretty excited about that.
Omar Saad - ISI Group Inc., Research Division: And then a quick question on SG&A. I think you got it to 34 range this year, up a bit from last year. And then not that too long ago, you guys were at the 25%-ish type rate, mid-20s-ish rate. Great to see you guys ramping up the investment in brand, and management team and infrastructure and framework. How do you think about it long term? Is that kind of a level that seems -- that feels right to you relative to sales, or do you see enough significant opportunities out there where you're going to continue to aggressively invest and maybe continue to delever a little bit?
Thomas A. George: I think when you think about SG&A long term, you sort of also need to look what the gross margin may look at long term. I mean, with the increase in the direct-to-consumer and some of these other initiatives around input costs, I think there's opportunity to expand gross margins, obviously, above our current level. That being said, we need to be able to invest to drive the growth, and I think we need to, on a longer-term basis, look at the company more similar to other [ph] multibillion global multichannel brands, and when you sort of net out there, you net out to a new view on operating margins more in the mid-teens on a longer-term basis on a much larger company.
Operator: And we'll go next to Taposh Bari with Goldman Sachs.
Taposh Bari - Goldman Sachs Group Inc., Research Division: I guess I just wanted to start on same-store sales. So Tom, do you mind giving us some clarity as to what your assumptions are for same-store sales for both the full year and first quarter guidance?
Thomas A. George: Yes, for the full year, we've, again, we want to be cautious there, and we're looking at full year total company same-store sales assumption relatively flat and sort of embedded in that is some improvement in China and U.K., still some work to be done there, but at least we started to identify some of the issues there. So that's that. In the first quarter, another thing on the full year number is Japan, some tough comparisons there in some of these newer stores going to the base. So we don't expect same-store sales in Japan to continue at the high clip they've been. So that's the full year number, flattish. The first quarter we expect some modest kind of growth in the first quarter, but still relatively small in the first quarter as well.
Taposh Bari - Goldman Sachs Group Inc., Research Division: Okay, that's helpful. And then Angel, I just wanted to ask you more of a high-level question, obviously, you had a very, very difficult 12-month period that you're coming out of. Looking back, there obviously have been some pretty nasty macro headwinds, including sheepskin, weather, Europe. Anything company-specific strategically that you think you could have done differently looking back in retrospect?
Angel R. Martinez: Well, we could have invested in better weather predicting. We have for quite a while, as I mentioned in my comments, for the last 2 years, we've been working on this innovation of UGG Pure. It's not something that we have been shy about. I mean, we put a lot of resources against this. It's been an important thing -- I kind of wish we would have been even more aggressive there because it has proven to be validated as a very important thing going forward. Now if I have known it would all have come together, I really would have been even harder driving against that. So, I guess, I would also say that this transitional product that we're now doing, I would have liked to have begun that process earlier. But in a sense, it's very difficult when we knew what our -- what the known components of pricing and raw material costs were what they were a year ago, UGG Pure has still not fully evolved. And so it was even hard then to get as aggressive about the development of the transitional product. And so -- but innovation is a key to our success in the future, and this is really -- how hard we push on innovation is something that I've learned we need to push even harder. I mean, I think we need to get the entire organization focused on innovative ideas in every single component of our business. And I think that, frankly, with all of those things that went down in 2012, the first few months, we were a little shellshocked. We kept sort of saying to ourselves this really can't all be happening at the same time. And we were caught perhaps a little bit flatfooted. Well that's not true right now, I tell you that. We're in full sprint mode, and I think that's the major lesson learned.
Taposh Bari - Goldman Sachs Group Inc., Research Division: I just wanted to sneak in one more if I can. For the first quarter guidance, flat revenue growth, that seems [indiscernible] you're going to have 30 more stores year-over-year, so I'm just trying to understand where the gap lies because it just seems like a very low number.
Thomas A. George: Yes, again, I mentioned sort of a modest view on comp. We do have 30 more stores. At the same time, our wholesale business is under pressure in the first quarter compared to the year-ago quarter, albeit last year was a difficult winter in January and most of February. We still had more classic boot kind of sales the first couple of months of last year than we've been experiencing this year.
Angel R. Martinez: Also there's one other thing that comes to mind when you asked that question, what would we have done differently? I don't think looking back, that we would have pushed our suggested retail prices in line with our increases in material cost. We were trying to protect our bottom line, and I think it cost us, and I think that's a lesson learned. I think in the end, and it's something we've always said, but it's hard under fire to hold to it. The consumer rules, the consumer wants what they want, and you have to be super careful not to go beyond a point where consumers feel that you've overstepped the boundary, and we really -- we knew that, we were conscious of that, but at the same -- I wanted to satisfy all of you guys, all of our shareholders, and I think we got caught a little bit there. So I think that's a lesson learned going forward.
Operator: We'll go next to Mitch Kummetz with Robert W. Baird.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Let me start. I just want to get some clarification on the backlog. I think you guys said it was down 17%. I didn't hear as of what date that was. So if you can remind me of that. Could you also say what percentage of your fall pre-book is actually captured in that backlog number? And then you mentioned that you'll take orders over the next couple of months, can you say kind of what sort of projection on the overall fall pre-book is baked into your guidance for the year?
Thomas A. George: Yes, Mitch, it's Tom. The backlog numbers I talked about were as of the end of December 31, early in the prebooking process, and the other thing we've seen this year, like I mentioned on the call, is it seemed to be that the customers are viewing the product and ordering the product later than we saw last year. And last year, by the end of December, we had a good amount of customers still, although early, that already viewed, written some of the products. On the pre-book, still early. We're pleased we have some of the products been booking. The booking, the prebooking process goes through the end of April. So we've got a good amount of it, and we feel we've taken a cautious look in terms of where the pre-book is going to end by the end of April when we've developed our guidance.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: So just to follow up on that, so where -- either can you tell me where you think it will end, or could you at least say sort of what is your wholesale outlook embedded in your guidance? Obviously, you guys are opening up stores, you expect some good growth from that, your eCommerce business is trending very well, but it sounds like the wholesale has been a bit weak, the backlog is a bit weak, maybe we'll see that pick up with some later ordering. But if you could either say kind of what's baked in on the wholesale side for your 2013 guidance, particularly in UGG?
Thomas A. George: Yes, I think the wholesale guidance, again, being cautious here with all the other assumptions I laid out, for UGG, for the total year, we're assuming at this point in time, the wholesale guidance could be down mid- to high-single digits.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Okay. That's helpful. And then my second question. On this UGG Pure, is there any way you can say like what percentage of your COGS you think that will represent for the year, and what kind of impact does that have from a gross margin standpoint in terms of kind of that 150 basis point? I mean, is that on top of the 150 basis points that you're just benefiting from lower sheepskin cost or is it just kind of embedded in that, or how should we think about the impact of UGG Pure from a margin standpoint on this year's numbers?
Zohar Ziv: Mitch, this is Zohar. I'll take the first part about the usage of that. Right now, we are using it at lining and socks material, and it's a significant amount of the usage that we've had. That can be about 1/4 of what we're using, but we're not using the whole thing at this time, and as we continue to develop the product, you'll see a greater usage of the UGG Pure in our product.
Thomas A. George: And Mitch, the 150 basis points I talked about of improvement in the margin related to sheepskin, that does include -- a portion of the 150% is related to UGG Pure, albeit we're at the early stages of that really.
Operator: We'll go next to Scott Krasik with BB&T Capital Markets.
Scott D. Krasik - BB&T Capital Markets, Research Division: Angel, you talked about transition product. What sort of reception have you seen specifically to the transition product in your bookings? Are customers interested in you guys playing a big role now in August through October in non-classic product? That's my first question.
Angel R. Martinez: Well, I'd say yes. The transitional product -- and we're just not calling that, that's like a working name. But the casual product that we have been showing has booked extremely well. I mean, it's booked extremely well for Q3. So we really feel like we've got momentum there. We've also had ballerinas doing very well, the driving mocs, our "smoking slippers", those are all transitional products, and they're not sheepskin-dependent per se, they have sheepskin touches. But they have been well received. We have had as well, excellent sell-through on those products this fall when we introduced them in a more complete assortment than we had in the past. So I think that really bodes well for the retailer and the consumer reception to this idea.
Scott D. Krasik - BB&T Capital Markets, Research Division: And then -- okay. And then you alluded to the fact that the retail stores you're opening now run at a little bit lower productivity in them and the returns are a little bit lower. Is that a function of where you've opened these stores as you maybe as Europe improves on a macro basis or you have some better brand recognition in Asia. Could it get better? And if it is at these levels, does it makes sense to keep opening stores the way you expect to?
Thomas A. George: Yes, Scott, this is Tom. I mean a good amount of it, there's obviously a lot of different dynamics, depending on what region you talk about. But our first class of stores, so to speak, the first 48, are just great locations and are very productive. So in terms of, does it make sense to open more stores? I mean, look at those even with the productivity below the best -- the freshmen class, so to speak, they're great returns, great, great operating margins, great returns on capital with those 1-year paybacks. So that, coupled with some of the earlier trends we're seeing out in the marketplace wholesale versus retail that Angel talked about, it makes a lot of sense to do this.
Angel R. Martinez: And also keep in mind that the stores we've got in Asia have been pretty much located in what you might call luxury environments. These are really premium malls. The neighbors are high-end neighbors, if you will. The consumer is now evolving, the middle is coming up. The consumer for -- and more malls are developing that cater to what you might call upper middle-class or solid middle-class people in Asia, particularly China. And so we have opportunity to expand beyond the luxury locations that we've been in, which is fine for -- those have been great for brand positioning and image. But I think that we have now got an opportunity to access more consumers, just a lot more consumers, for whom the brand, and in China, it's called U-G-G, that's how they refer to it, UGG is considered a premium high-end brand, high-quality. So our goal really has to be to make sure that we're merchandising product line appropriately for the Asian consumer, and not even Asian, for the Chinese versus the Korean versus the Japanese, and also making sure that we're hitting the price points we need to hit because this is really a critical component of our growth going forward.
Scott D. Krasik - BB&T Capital Markets, Research Division: Okay, no, that's great. Just if I could sneak one here. Is the material something that you could put into [indiscernible] for outlet product? Is it that similar to a sheepskin that you could use it to change the margin structure across the board?
Angel R. Martinez: Well, I'm not going to speculate on exactly where we -- what class of product we put it in. I would just say that it's, as a material, it is softer, it is more consistent. And the perception is it's higher quality than even the natural stuff that's out there, which as much as we select for the best hides, a lot of the shearling material itself feels a little coarse by comparison. So this is a significant enhancement to our product consistency.
Operator: And we'll go next to Corinna Freedman with Wedbush Securities.
Corinna L. Freedman - Wedbush Securities Inc., Research Division: I wanted to ask about the longer-term plan for 2016 to get that additional $1 billion. Does the lower retail productivity change your thinking there? Does the reduction in the wholesale base change your thinking there? If there's any update you can give us on that 2016 plan?
Angel R. Martinez: With the innovation we talked about with UGG Pure and some of the recent learnings we have in our retail business, especially in Asia, we're, at this point in time, we're sort of going through the update process of our longer-term plans. So I really can't comment or update any long-term plans at this point in time, but I will fall back what I said earlier, with these opportunities we see in the UGG Pure innovation and even with the lower productivity, the great returns on capital and great operating margins we see there, albeit we're going to have to invest in the right OpEx and the right infrastructure to be able to grow a global brand, we still -- we obviously still feel there's great opportunities long run, long term.
Corinna L. Freedman - Wedbush Securities Inc., Research Division: And I just have one follow-up question about the NPD POS data that comes out monthly. Is there any -- can you address any inconsistencies that you might be seeing on your side of the business versus what's being reported, and do you expect that to inflect anytime soon?
Angel R. Martinez: So a couple of things to talk about NPD data. It doesn't cover our entire distribution base. Obviously, doesn't cover our retail stores or our eCommerce. Some of their categories blur the lines in terms of where UGG falls and where UGG doesn't fall. I think we've talked about how the sporadic weather, how that's impact weekly sell-through, not only our wholesale channel, but our own retail stores. So I mean it's 1 thing to look at, it's certainly, in our mind, not the most important thing to look at.
Operator: And we'll go next to Eric Tracy with Janney Capital Markets.
Eric B. Tracy - Janney Montgomery Scott LLC, Research Division: I guess, if I could just touch on the supply chain, and given the retailers changing ordering patterns in later, I get the transitional products being layered in, but maybe just speak to the supply chain adjustments that are being made to try to smooth that and again just deal with that change.
Zohar Ziv: Yes, the change we're making is specifically timing of bringing the inventory when it's needed and building that transitional product that Angel was talking about.
Angel R. Martinez: And also just more responsiveness from our suppliers. In other words, being more current with consumer preferences. This is a business historically that was wholesale driven, so we built product for introduction twice a year. We went to trade shows 2x a year. The consumer wants fresh products every 60 days at a minimum, and you have to be much more reactive, and especially when they seem to have access to sort of every presentation of product across the Internet, a fashion thing happens or color happens or a trend, motorcycle boots pop and they pop big and they pop everywhere. So we have to be current, we have to be aggressive, and that's what these changes are going to guarantee.
Eric B. Tracy - Janney Montgomery Scott LLC, Research Division: Okay. And then I guess if I could just follow on this conversation between wholesale, be it retail or just DTC, Angel, as you think about the model longer term, what is the right percentage of the mix, be it domestically or globally? How far do you want to vertically integrate, not alienating the wholesale partner, but even on lower new store productivity, clearly it's a massively accretive sort of move -- to move in that direction. So again, maybe just sort of speak to the longer-term structure.
Angel R. Martinez: Well, I think we will always be quite -- it will always be very important for us to be in a wholesale environment. Right now, and I'll just throw a number out, I wouldn't ever see us less than 50% of our business being wholesale as it's been historically. Now how long before that happens? It's up to the consumer, what they want and whether or not in many cases, we even have the wholesale partners who make the transition to Omni-channel. I think one of the things that I know about the footwear business, it's really important for you to be available in-store with multiple brands. Obviously, in our own environment, it's only going to be UGG. But the true test of competitiveness is when you're in a Nordstrom and you are up against all the other great brands and you perform on that level. That's what's unique about the footwear industry. People go to a store, they want to try on a variety of products, if they're looking for a boot or a loaf or a driving moc, they don't just want to try on yours. So you have to win that battle at retail, it's what I call the last 3 feet. That is always going to be a critical component of success for this company long term. That's a key element of the footwear industry. And so our job is to be in the best environment where the brand is presented consistent with our expectations and the consumer value that is placed on those brands. So wholesale will always be important. It will always be a key component. And frankly, over time, as retailers evolve to the new realities of consumer behavior, the partnership that we have with them is going to be absolutely critical because it's going to be a multi-legged stool. You're going to have the Internet, you're going to have wholesale, you're going to have our own retail. And all 3 things have to work in concert for that consumer to be satisfied. And so it means that we have a lot of collaboration with our customers, and that's why it's so important that we make sure we have wholesale partners that are committed to the same vision for the brands as we are.
Eric B. Tracy - Janney Montgomery Scott LLC, Research Division: Okay. And if I could just sneak in one last sort of near-term question. I'm trying to somewhat reconcile, I guess, the trends you're maybe seeing year-over-year through January and February relative to seemingly much more beneficial weather just being very cold across the country. I guess, still sort of working through the inventory, maybe just speak to what that dynamic is, and again, why maybe the sell-through isn't as strong?
Angel R. Martinez: Well, we see -- whenever the weather gets cold, we see very strong performance in our stores and on our Internet sites. It's become just a very precise barometer. It's amazing actually. This wasn't necessarily the case when we were in an environment where, let's say, our business was concentrated in California, and we have cool nights in California, even in the summertime. So our business was pretty stable because people put on UGG in the evenings to go out on a cool evening. Well, it really did change the dynamic for our brand in ways that we began to understand a lot better with the real extreme swings in weather. The real extreme swings in weather sort of highlighted this consumer behavior and really created for us a need to really diversify the product offering and do some things that if the consumer loves UGG, they love it for the comfort, they love it for the quality and the luxury. We want to make sure that there's a version of UGG that they can wear in most weather environments.
Operator: We'll go next to Christian Buss with Credit Suisse.
Christian Buss - Crédit Suisse AG, Research Division: I was wondering if you could provide some help with us in understanding what the incremental expenses on the SG&A front are associated with the new store openings, sort of sequentially over the course of the year?
Thomas A. George: Christian, it's Tom. In terms of the year-over-year guided OpEx versus where we were at in 2012, I mean really most of the year-over-year increase is really related to the retail stores, as well as our eCommerce business. That's it, net-net. And with the -- when you're talking about 24 stores that now are opened, the 20 -- excuse me, the 30 that we opened in 2012, they're obviously going to roll in starting the first quarter of this year. And then as we open the roughly 30 more stores in 2013, most of those will be in the fourth quarter. I think another subset of that retail in eCommerce, to give you a little granularity, is our eCommerce business, which is about 10% of the total overall OpEx increase for the year. And there's a fair amount of variability in eCommerce business, and we're looking at some good strength in the eCommerce business world [ph]. So there's -- hopefully that gives you some, you have the typical retail operating expenses or the amortization of the leasehold improvement, the supplies, the labor, those kinds of things.
Christian Buss - Crédit Suisse AG, Research Division: So we could be seeing a step up in the incremental SG&A expense year-over-year in the first quarter and through the balance of the year, is that correct?
Thomas A. George: That's right. Yes, because you've got this -- yes.
Christian Buss - Crédit Suisse AG, Research Division: And then I wanted to ask the guidance for other revenue is for basically a doubling of other revenue year-over-year. Could you talk to me about how you get there?
Thomas A. George: Yes, the biggest drivers in that are the couple brands. Although we see growth in every one of the brands that's in that other category, the biggest growth is in the Ahnu brand, as well as our new brand Hoka. Those are the 2 biggest drivers.
Angel R. Martinez: And just to give you a little color on Hoka. Hoka One One is a running shoe brand that was developed for ultramarathon running. We're talking 50, 100 mile races in the mountains, has tremendous momentum in running specialty, extremely authentic brand. We have been looking for an opportunity in the athletic aspect of footwear, we don't play in that arena. That's the biggest piece of the business when it comes to footwear globally, and we wanted to make sure it was an authentic brand, preferably a running shoe brand. So we're pretty excited about Hoka. It's still young, it's still small, but it's evolving very quickly. They're extraordinary shoes. They really are amazing products.
Christian Buss - Crédit Suisse AG, Research Division: Will that revenue flow in starting in the first quarter or is that weighted later in the year?
Thomas A. George: On that one particular brand, there's more in the back half than the front half, but it's fairly and fairly even.
Operator: And we'll go next to Howard Tubin with RBC Capital Markets.
Howard Tubin - RBC Capital Markets, LLC, Research Division: Just really quickly, Angel, you spoke about looking at your outlet stores differently and redeveloping your outlet store strategy, any more details you can give us on that?
Angel R. Martinez: I think outlet stores for us have been something that we've been a little bit opportunistic on. We haven't put the focus on an outlet strategy as compared, separate and distinct from a first-line store strategy. If you look at some of our outlet stores, I think they're wonderful-looking stores. It's a great shopping experience. We're going to be more focused -- focusing more on the merchandising of those stores as distinct and separate from our concept stores. We're going to be more aggressive about locations, as they pop up opportunities that may surface in malls that we feel we need to be in, whereas we have been putting the priority on concept stores in the last few years, but the outlet stores are very profitable, as you know, and they provide a great opportunity for access to the brand by consumers, especially now when we can create price points that enable us to be more flexible there. So creating product for those stores that really fills the UGG expectation by customers is a good opportunity.
Operator: And we'll take our final question from Camilo Lyon with Canaccord Genuity.
Camilo R. Lyon - Canaccord Genuity, Research Division: A quick question, with respect to the transitional product, how are your wholesale accounts splitting their open-to-buy dollars between the classic UGG orders that they had and your stats [ph] versus the transitional product. Is there a shift in allocation of dollars? Are you getting a bigger share of that open-to-buy? If you could just shed some color on that, that would be great.
Angel R. Martinez: I think over the last few years, we've seen our classic business remain pretty much flat to the total, and the growth has been coming from a lot of the new styles, including the casual style that we've done over the last couple of years, and transitional products sort of falls into that domain. It opens up the business to more seasons for the retailer. At first, in the -- I'd say, about 4 years ago, when we really first started developing this product, there was a big question mark as to whether we could sell a product beyond classic slippers and classic boots. The consumers answered that question. They've really said they love the brand. The brand can come at them from everything from sandals to driving mocs, as I mentioned earlier, and so there's -- we're not seeing a retailer -- it's not an either or, it's an and conversation. We're taking market share from people that we have not in the past competed with because of this development of our casual product. UGG classic is UGG classic, that is a business almost in and of itself. It's as we've said, heavily fourth quarter, it's a big gift item. The casual product is bought for a very different purpose, although people still expect it to perform like UGG.
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay. And then so the casual product then going to have lower ASPs since its selling earlier in the season? And should that have an impact in how we should look at the overall back half ASP picture?
Angel R. Martinez: I'd say generally speaking, yes, because it is, by nature, it's not boots. Boots are more expensive. It's the nature of the product, ballerinas, driving mocs and those kind of things are lower price point products.
Operator: This does conclude our question-and-answer session. I will now turn the call back over to the speakers for any additional or closing remarks.
Angel R. Martinez: Well, thank you, all, for participating on the call. 2012 was a very difficult year, a very tough storm that we weathered as a company. But as the old saying goes, what doesn't kill you makes you stronger. And we are definitely stronger as a company. We're stronger as all of our brands. A lot more focused. And I think it bodes well for the future. I'm incredibly proud of our team around the world in the way we've managed through all of the challenges. And I'm very -- all of us are very excited about the future and the kinds of things that we now get to do with all of our brands. So thank you, all, very much.
Operator: Thank you. That does conclude our conference. You may now disconnect.